Michel Morin: Hello, everyone, and welcome to our first quarter 2024 results call. And this event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; our President and COO, Maxime Lombardini; and our CFO, Bart Vanhaeren. The slides for today's presentation are available on our website along with the earnings release and our financial statements. Now please turn to Slide 2 for the safe harbor disclosure. We will be making forward-looking statements which involve risks and uncertainties, and these could have a material impact on our results. And on Slide 3, we defined the non-IFRS metrics that we will reference throughout today's presentation. And you can find reconciliation tables in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Mauricio Ramos. 
Mauricio Ramos: Thank you, Michel. Good morning and good afternoon, everyone. The key highlight this quarter is our financial performance, and you can see that on this page. After years of carefully building the strategic platform that we now have in TIGO today, we have spend the last few quarters making that platform a more profitable one. And this has led to a strong start of the year in this quarter. We're pleased with that and we remain very focused to navigating the significant challenges that still lie ahead. Service revenue in this quarter accelerated to 3.8%. That's our strongest performance in nearly 2 years. Two specific elements have contributed to this performance. First, during the quarter, we implemented another round of price increases in a majority of our markets. As a result, Mobile ARPU increased 5% on average in local currency terms, and it was up in every single country. Second, we continued to generate revenue from 2 large government contracts in Panama. Please note that these contracts added a bit more than 2 percentage points to our organic service revenue growth in the quarter. We're extremely pleased with the successful work our B2B and Panama teams have undertaken to win these 2 contracts. Moving forward, we will continue to bid for more of these contracts that help accelerate Panama's digital transformation. Having said that, I want to caution you that these 2 large projects are expected to generate less revenue in the quarter going forward. So we don't expect to sustain this level of service revenue growth in Q2, nor really for the rest of this year. EBITDA increased 20% year-on-year organically, and this reflects both the service revenue growth that we just talked about and the effect of our efficiency program. And cost savings from Project Everest are now very visible. This EBITDA growth is going straight to operating cash flow as we continue to streamline our CapEx in line with our plans. But please do know that Q1 CapEx benefited from some phasing. As a result of all of these efforts, OCF was $519 million in the quarter. That's up more than 50% organically compared to last year. As I have indicated very often before, over the past few years, we have assembled a strong platform across the region. We're now making that platform more and more profitable. And given the strong start to the year, we remain confident that we will achieve our target equity free cash flow of about $550 million in 2024. Let's look at Colombia first. Last quarter, we made excellent progress on our plan to make our Colombian business profitable and cash generative. Execution of the long-term strategic roadmap that we laid out for Colombia a few years ago is now showing strong results. In 2019, we made the bold decision to buy 2 blocks of spectrum in the 700 megahertz band to strengthen our competitive position in the mobile business. And as you know, we immediately put that spectrum to work by deploying network infrastructure and by expanding our commercial footprint. Since then, we have more than doubled our postpaid customer base, and our mobile services revenue have grown very strongly and steadily, as you can see on this page. We have achieved this despite the arrival of a new entrant who brought disrupting pricing to the market over the past few years. We remained focused on driving increased scale in mobile, aiming to drive better financial performance for the entire Colombia operation. We have now been able to take steps even at bringing back price discipline to that market, within mobile and in the residential broadband business. As a result, we're now seeing our actions translate into high ARPUs. Mobile ARPU is up about 7% and home ARPU is up almost 10% in local currency terms. As a result of this long-term strategy, our sustained pricing discipline, and the savings from Project Everest, we're driving margins higher in Colombia. The very strong 36.5% EBITDA margin in Q1 would have actually reached 41.4% if you were to exclude the severance we booked in Colombia during the quarter. Years of work and the cost discipline of Project Everest are bringing combined profitability to our Colombia operation. Please note that one of the consequences of a price discipline boom is that we have been sacrificing some customer growth. As a result, we're currently spending a lot less than we used to on customer premise equipment, and this has historically been a very large component of our CapEx spend. The net effect of all of this is that OCF is up strongly, roughly doubling over the past year. Good news. But please note that this may not be sustainable if we decide to step up our commercial intensity to return to positive volume growth in our home business. All along this journey, we have also continued to look for ways to make the business even more efficient in its use of capital. And with that in mind, as you know, we recently finalized an agreement to combine our mobile network with Telefonica's in Colombia. This project was over 2 years in the making and is now well in place. This combined network will produce very meaningful synergies in the form of lower spectrum and shared network costs. And it has already given us the ability to buy 5G spectrum jointly in the most recent auction and to deploy a 5G network together, thus enhancing our savings. In addition, earlier this year, we also monetized our remaining towers in Colombia as part of our larger asset monetization strategy. And with that, we have further improved our capital efficiency in Colombia. As a result of this strategic and operational initiatives combined, we're performing much better in Colombia, and we are on track to deliver positive equity free cash flow in 2024. Despite these meaningful improvements, we still face significant industry challenges in Colombia. There are still too many players and too many networks in both mobile and fixed. ARPUs are still the lowest in the region and yet spectrum cost remain the highest. And in Colombia, today, only the largest player is able to generate profitable free cash flow. Said differently, there's still a lot of work to make the Colombia industry structure a really healthy one for the long run. Now please turn to Slide 7, where you can see that Guatemala is back on its game, with both service revenue and EBITDA up year-on-year in the quarter. As you will surely recall, we made the bold decision to increase our ownership to 100% towards the end of the pandemic and to allocate an important amount of our capital to Guatemala. This was a tremendous opportunity to own more of the asset with the highest return on capital and the most cash generation in our portfolio. Shortly after that investment, we began to face a strong challenge from our competitor, and we responded by investing heavily in new spectrum and infrastructure to boost capacity in our networks. We also invested confidently to maintain our strong position in the distribution channels in Guatemala. And as a result of that strategy, mostly as it was, we successfully protected our market share and defended our strong leadership. And now after 2 successful spectrum options, we have spectrum priority in the Guatemala mobile industry. And this has created the conditions for the return to a more rational competitive environment. We are now seeing signs of this in Q1 with our mobile ARPU up year-on-year for the first time since early 2021. And this was the main driver of revenue growth this quarter. When you add this to the meaningful savings from Project Everest, you can see low single-digit revenue growth translate into high single-digit EBITDA growth. So our investments and our patience for the past 2 years are now beginning to pay off, with our largest market now back to a strong positive growth. As we sit here today, indeed, it feels good to now own 100% of this strong and growing cash flow. With that said, we're not out of the woods and we're not dropping our guard. Our competitor remains aggressive, and it's still too early to tell how the market will react to our most recent price increase in February. So while the strategy is in place and it is working and we're feeling good about Q1 in Guatemala, we know we still have a lot of work ahead. Now please turn to Slide 8 to talk about Panama. 5 years ago, we made the highly strategic decision to enter the Panama market. That important capital allocation is also coming to fruition now. As you will recall, we made 2 back-to-back acquisitions, first in fixed and then in mobile. A year after the merger, we rebranded everything to our own flagship TIGO brand, which is now one of the most recognizable brands in the country, as is also the case everywhere you go in Central America. At the time of our initial investment, we saw 3 critical opportunities that have become a reality by now. First, we saw a tremendous opportunity to cross-sell mobile services to the fixed customer base we have acquired when we bought Cable Onda. Indeed, when we subsequently bought the Telefonica mobile asset, its mobile market share was in the mid-30s. Today, we're at about 50% mobile market share in Panama, and we are now guiding postpaid penetration to that base. Second, we thought that the Panama mobile market was ripe for consolidation with too many players and too little cash flow. Since then, the market has indeed consolidated from 4 players when we entered down to 2 today. When you consider that many of the largest countries in the world of only 3 players, there was no reason for any country in Latin America for more than 2 mobile players, perhaps with the exception of Brazil, which is much larger, of course. And finally, the third pillar of our investment thesis was the opportunity to bid and win our fair share of large program and contracts or B2B. After years of work, this is just now starting to happen, as you can see in our results in the last 6 months. With all of this put together, we are now the #1 telecom operator in Panama. And as a result, Panama with its stable and dollarized economy is now becoming the second largest contributor to Millicom's equity free cash flow in 2024. Now let me turn the call over to Maxime to say a few words. 
Maxime Lombardini: Thank you, Mauricio. As many of you know, I joined the company less than 9 months ago, and my first priority was to simplify the way Millicom operates to empower the countries, optimize CapEx, and accelerate and expand the scope of Project Everest. As we told you on the third quarter earnings call, Millicom has tremendous assets and a very strong team, but we saw an opportunity to significantly enhance the cash flow generation of the business by bringing more focus on cost control, well beyond the initial scope of Project Everest. We've also decided to upgrade the HFC cable network for it to provide more bandwidth. For a limited cost, we now have the capacity to deliver high bandwidth and be competitive again. We constructed our 2024 budget on this basis, and 9 months later, the results are very tangible. EBITDA is up more than 20%, OCF is up more than 50%. Equity free cash flow is always seasonally weaker in Q1, but this year was $134 million better than Q1 of last year. And all of these actions are helping to bring our leverage down very rapidly, which was also one of the key priorities when I joined. Every country is contributing to our improved financial performance, and we expect that all of our countries will generate strong equity free cash flow in '24 at a level well above what was achieved in '22 and '23. And while we have been driving this important effort, this is the result of the tremendous effort of many people throughout the company and we want to take a moment to thank everyone for their dedication over the last several months. It has been painful, but Millicom is already in a much stronger position thanks to you. Of course, there is still much more that we can and will do in the future, continuing cost control, CapEx optimization and implementing signification everywhere. It is possible to be more flexible and more efficient. And we are downsizing the volume of shared services to other countries fully responsible, and we have a structure normally to keep only countries and use cases that make sense. We can probably do better with organic service revenue growth. And we will continue to focus more of our time on identifying opportunities we may have to accelerate our profitable growth. With that, back to you, Mauricio. 
Mauricio Ramos: Thank you, Maxime. It has been a true pleasure to partner with you over the last several months. Thank you for your incredible support and your friendship, and for helping Millicom to tap into the experience and expertise of the broader Atlas team. Before turning the call over to Bart to go over the financials, I will wrap up by discussing the various leadership changes that have been announced over the past several months. First, as part of the CEO succession plan that we had announced 9 months ago, I will be stepping down as CEO shortly after the shareholder meeting later this month, and I will remain as Chair of the Board, subject, of course, to shareholder approval at the AGM. No major news for you there, I hope. As we recently announced, the Board has appointed Marcelo Benitez to be Millicom's next CEO starting June 1. Marcelo's journey at Millicom has been nothing short of incredible. Marcelo joined the company about 30 years ago, starting in one of our call centers in Paraguay. Since then, he has held leadership roles in multiple countries, touching just about every part of the organization. He's currently the General Manager of our Panama operation, where he successfully integrated the acquisitions and has executed our investment plan, which I alluded to just a few seconds ago. A very warm welcome to Marcelo, a team leader with so much Sangre Tigo. I also want to publicly thank our Board for the time and the effort that every member devoted to the discussions, analysis and interviews with many internal and external candidates. Our decision to appoint Marcelo was indeed thoughtful and unanimous, and that could have not been achieved without the months of work that the Board put into this very important task. And we also recently announced that Maxime will remain our President and COO until the year-end, and he will join our Board as of this May. Maxime's contribution has already been very positively impactful to the company, and I personally immensely look forward to continue partnering with Maxime now in the boardroom. As you can see, Maxime and I will stick around to help Marcelo whenever and for whatever he needs us. Marcelo will have our full support, that of the full Board, and that of all his TIGO colleagues who know him so well and have enjoyed his strong leadership for decades. And also subject to shareholder approval, we will be joined by Justine Dimovic as our new Board member. Justine is with L'Oreal now, but she was our very own former Treasurer and Head of IR some years ago at Millicom. So she will bring back tremendous knowledge of the company, along with her experience and financial acumen. Welcome back, Justine. Thanks to Michael Golan for sitting on our Board for the last year with meaningful insights and contributions. And also thank you to Pernille Erenbjerg for her many, many important contributions to the Board over the last 5 years and also for her insightful challenge and continuous support to the team. A few weeks ago, we also announced the appointment of Bart Vanhaeren as our new Chief Financial Officer. Like Marcelo, Bart is a Millicom veteran who has held several leadership roles during his 14 years with the company, most recently overseeing corporate finance, which encompasses the company's treasury, tax, mergers and acquisitions and corporate administration activities. As you know, I've worked closely with Bart over the years and think highly of him. Before I turn the call over to Bart to go over the financials, I want to reconfirm that we continue to work on monetizing our regional TIGO portfolio. We launched the monetization process externally in Q4, and we're now very actively in the middle of the M&A process. Of course, precisely because of that, that's all that we can say at this time. With that introduction, let me turn the call over to Bart for his debut moment. 
Bart Vanhaeren: Thank you, Mauricio, and hi, everyone. Many of you know me already from my various roles in the past or from investor conferences. For those who don't, I encourage you to reach out to me through Michel, as I definitely want to engage with our broader investor base to hear what is top of your mind. This being said, let's now have a look at our financial performance beginning on Slide 12. Mauricio indicated this already, a lot of work has been done over the last few months and now results start to show. At the same time, we still have significant challenges ahead. Service revenue was $1.38 billion in the quarter. This is up 8.8% year-on-year from $1.26 billion a year ago. Excluding the impact of exchange rates, organic growth was 3.8% in the fourth quarter, driven by: one, our mobile business, which is up mid-single digits, thanks to ARPU growth from recent price increases and pre to postpaid migrations. Two, meeting growth in B2B coming from large contracts in Panama that Mauricio already talked about. These contracts should continue to generate revenue and EBITDA for several more quarters, but we anticipate a much smaller contribution from these contracts going forward and beginning in Q2. Three, this revenue growth is offset a bit by a decline in the home business, where we focus on return on profitability in a competitive environment. Our EBITDA, which we will discuss in more detail later, was up 24.5% year-on-year to $632 million, despite $30 million of restructuring costs incurred in the period. The very strong growth reflects the combined effect of the service revenue growth that I just discussed, as well as the cost savings for Project Everest that are now visible and recurring. Then the operating cash flow rose 61% to $519 million, reflecting both the robust EBITDA growth and a 38.9% reduction in CapEx. This CapEx reduction is in part due to the efficiency measures taken during 2023 and now materializing in the run rate, but a bigger portion is due to the slower phasing of investments in this quarter of 2024. So please don't annualize Q1 CapEx as an indication for full year investment. Drilling down further into the service revenue by country on Slide 13, Guatemala increased by 2%. This was the first positive quarterly growth in 5 quarters and is fueled by mobile growth, where recent price increases are driving ARPU growth. As Mauricio mentioned, we are happy with the improved performance in Q1, but competition remains very intense here. Colombia service revenue was flat in local currency. Here, our mobile business continues to grow very nicely and was up high single digits, but this was offset by a decline in our home business, where we continue to prioritize price discipline and profitability over growth in a market that remains very competitive. As Mauricio already discussed, we'll be willing to sacrifice some customer growth, but the good news here is that home ARPU is up strongly, and we have also seen a significant improvement in churn and net adds in the last couple of months. In Panama, service revenue grew 17.8%, fueled by the 2 large B2B contracts, as well as, a strong growth in mobile. Excluding these large contracts, service revenue would have been flat. Bolivia service revenue was flat as well, with growth in mobile and B2B, offset by a decline in home, where we continue to prioritize price discipline, especially given a more challenging macroeconomic outlook and the longer payback terms in this side of the business. Paraguay service revenue grew 4.3% in local currency with every business unit continuing to perform well. Service revenue in our other segments increased 5.4%. As a reminder, the other segment is comprised of our operations in El Salvador, Nicaragua and Costa Rica, which in aggregate account for just over 15% of our service revenue and EBITDA. Now turning to EBITDA on Slide 14. As I mentioned before, EBITDA in Q1 was $632 million. That's up 24.5% year-on-year from $507 million. As you can see, foreign exchange was a tailwind this quarter and contributed about $21 million of growth to the quarter. This doesn't happen very often, so we're happy to take it. Excluding this FX benefit, EBITDA increased 20% organically year-on-year. Noteworthy is that about $30 million of further severance costs are included in our Q1 EBITDA. On Slide 15, you can see our EBITDA by country. It's quite clear that the cost savings initiatives we've been implementing over the past year or so are having a very positive impact across all our operations with nearly all countries up double digits. Guatemala EBITDA improved very significantly and increased 7.9% in local currency terms, largely thanks to better ARPU growth in mobile. Colombia EBITDA local currency growth was more than 24% due to both mobile service revenue growth and continued price discipline in our home business, as well as, all savings from Project Everest. The EBITDA margin of 36.5% was a new record. Noteworthy is that during Q1, our Colombia operation incurred almost $18 million of restructuring costs related to the voluntary retirement plan that we implemented early in the year. Excluding this charge, the margin would have been 41.4%. That's up 10 percentage points over the past year. And this is one of the reasons why we expect equity free cash flow to be positive in 2024, as Mauricio indicated previously. Now turning to Panama, where EBITDA grew 26.1%. The B2B projects contributed more than half of this growth. And as I've just told you, we expect much smaller contributions from these projects going forward. Bolivia EBITDA increased 12.7%, and this is largely due to the savings from Project Everest and to our reduced commercial activity in home. As a reminder, the macroeconomic situation in Bolivia has become more challenging because there is a shortage of U.S. dollars in the economy. Up until now, this hasn't had any noticeable impact on consumer demand, but it has become a lot harder for us to convert Bolivianos to dollars to pay some of our vendors, and to upstream cash from the country. In other words, no impact yet on revenue or EBITDA, but our working capital was about $16 million better than it should be because of these payment delays. Paraguay had another solid quarter with EBITDA up 14.1% organically and the margin expanded almost 5 percentage points to 48.3%. EBITDA in our other segments increased 17.8% with all 3 countries contributing to the growth. Now please turn to Slide 16 for our usual net debt bridge. During the quarter, net debt increased slightly by $19 million to end Q1 at just under $6 billion. The taxable EBITDA growth, our leverage decreased by 19 bps in this quarter. The key factors that contributed to the increase in net debt were our equity free cash flow was $1 million, however, includes the proceeds of the sale of towers in Colombia for $39 million. We repurchased our bonds in open market for approximately $132 million. These purchases were made below par, leading to a $15 million benefit. We also bought back shares for approximately $27 million. As a result of these items and considering also the strong EBITDA growth that I already talked about, our leverage ratio ended Q1 at 3.10, down from 3.29 at Q4. Now please turn to Slide 17 to review our financial targets. We continue to target equity free cash flow of around $550 million in 2024. And we continue to target leverage of 2.5x by 2025. These targets remain unchanged from what we communicated to you at our Q4 results last February. As you can see from our Q1, we have started the year on a relatively strong note, and we are indeed slightly ahead of our plans. But as Mauricio and I have already told you, we benefited from a number of tailwinds in Q1 that won't necessarily repeat. And we also see a number of risks for the remainder of the year. These risks are contemplated and reflected in our targets. Now let me turn the call back to Mauricio to wrap up. 
Mauricio Ramos: Thank you, Bart. Pretty good for your first time. Before I take your questions for the last time as CEO, myself, I want to recap some of the key strategic decisions we have made, as a team, over the past several years to help get us to where we are today. First, we invested heavily in our networks. We deployed 4G and bought spectrum to secure our mobile market leadership, and we expanded aggressively into home and into B2B. Largest chunks of our spectrum acquisitions and renewals are now behind us, as you know, and B2B is beginning to show its strength. Second, we invested on Africa, where we had no scale. We closed offices in London and Stockholm, and we sold our noncore assets. Third, we enter Panama, Nicaragua to consolidate our leadership in Central America. Panama is now a success story, and we increased also our ownership in Guatemala, a country where our return on capital is by far the highest, and strong cash flow growth is back. Fourth, we have made great strides to improve profitability in Colombia. We still have a lot of work to do there, but we're closer than we ever were in making Colombia a key contributor to Millicom's growth and to its free cash flow generation in the future. Fifth, and this is perhaps the most important, we created a winning Sangre Tigo culture that makes all of our plans possible. In this, out of this Sangre Tigo, and perhaps because of it on to our next leader, Marcelo Benitez. TIGO indeed has become a magnificent unique platform in the region, one that is now more profitable, thanks now also to the immense and positive support of our largest shareholder, Atlas. I'm happy now to hand over to helm to a seasoned and highly capable company veteran like Marcelo, a great colleague and a dear friend of many years. You will get to meet Marcelo in early August for the second quarter results conference call. Today, Bart, Maxime and I will take your questions. 
Michel Morin: And first question will come from the line of Soomit Datta, New Street Research. 
Soomit Datta: Mauricio, thank you for all your help over years and good luck with the new role. Look forward to talking to you, Bart going forward, good luck with everything. A couple of questions, please. So first of all, I mean, a really remarkable job on the cost side over the last few quarters. I've looked at the sector for many years and I can't really recall anything quite as heroic in terms of margin improvement. So well done to everybody for that. It does sort of lead to the obvious question, though, as to how sustainable is that policy? And I think you've hinted at areas you would look to maybe step-up investments within home, for example. Just curious if you could elaborate, as you look forward over the next few months, either on the home side or on the wireless side, where you might see opportunities to pick up investment again in order to try and pep up the topline growth? That would be the first question, please. And then secondly, just going back to something you touched on, which is cash coming out of a couple of markets, Honduras and Bolivia. Just trying to get a sense as to how real that risk is and what that might mean for equity free cash flow? I think it's -- you've talked about it being within the guidance. But again, a bit of color there would be helpful as to what's happening on the ground. 
Mauricio Ramos: You bet. I'll take a little bit of the first one. Maybe Maxime can help out there. And I think the second one will leave our brand-new CFO to a cut his teeth with, not only on the question, but on actually handling the challenge. So listen, on the commercial initiatives and on the Everest project, as I've said often, Everest was something we had started at a bit of time ago, had been properly planned for with the external resources, and we had started implementing, but in reality, it got deeper and faster with the support, help and challenge from our new largest investor. That external force just made Everest become, not just Everest 1, but Everest 2, and it just speed out the process, and I've been vocal in saying thank you for that external support. And since Maxime's on the call, we allude often to our partnership, and it has really worked well. So what you're seeing today is the combination of initiatives that are strategic in nature from a year ago, now being combined with that platform, Panama, Guatemala, work on Colombia, et cetera, et cetera, are becoming more and more profitable. Now the topline, which is very, very important, we have continued as ever focused on. So let me give you some color on that, so it doesn't just remain as words. Number one, on mobile, you've seen our continued push on postpaid. And that's true in Panama. You will see it coming into the results with cross-selling first and then adding postpaid to the new subscriber base. It's working like a charm. Colombia, you've seen the numbers, postpaid is really working for us in Colombia as in other markets, but that push into postpaid comes with, as you know, lower churn, a little bit more ARPU and higher or longer lifetime value cycles. And that's a long-term initiative that we continued on. We are increasingly using our fixed footprint to drive convergence. Maybe we don't speak about it in the call because we don't have enough time. But we're racing speeds and adding more convergence into key markets where we have a long on fixed network like Colombia and Bolivia, et cetera. So that's ongoing. And B2B, which today is all about Panama, like you've heard us over the years talk about the importance of driving B2B into the mix and that you begin to see that. So there are initiatives there on the revenue that have stayed on and will continue to be the focus going forward. Having said that, and as we've said publicly, we did become very price disciplined in Colombia some quarters ago. We've actually implemented installation costs and remain very prime in disciplined. That has come at the cost of volume. It drives cash flow, but it slows our growth. And as we just highlighted earlier on, that is one avenue in which if we see an improved industry structure in Colombia, as we began to see over the last couple of months, really -- prices have stabilized and competition in home seems a little bit more stable. You've seen us drive ARPU a little bit. Then we may go back into or with a little bit more push on volume. And the same is true on Bolivia for macro reasons that we'll address later. That's the long way of saying we remain very, very focused not only on costs but also in revenue going forward. And I could speak at length on what it, but maybe Maxime, anything to add to that? 
Maxime Lombardini: First, we have not sacrificed CapEx, much more, we have optimized CapEx, especially by aligning technical, IT and sales to be more efficient. Several we have renegotiated a lot of contracts with the vendors, both on network and IT. So for the same amount of money, we can get more. And there is more to come on that. And on the home business, we've made a huge HFC upgrade in terms of bandwidth capacity for quite a low cost. So all that explain you that we have a good performance commercially with relatively low CapEx. On top of that, there is more to come on costs, especially on content. Each time a contract comes to them that we can renegotiate drastically, and that is big amount. And then on subcontractors and on shared services, there are many shared services in Millicom that we started to push first to reduce and then to push to the country. It's just to avoid, let's say, HQ costs with limited leadership on them. And the third aspect, we have many initiatives that are pushed on the service revenue. The first one is to lower as much as we can the churn, especially on home because this comes with a high cost, both OpEx and CapEx. And the HFC upgrade is quite successful on that. Then on the distribution, we are improving the distribution network. And we are great believers on the FMC offers, putting together the home and mobile business. Especially when fighting in certain countries with these small ISPs that are cheaper providing BBI only. That's the best way to fight on that. 
Mauricio Ramos: Bart, Bolivia and Honduras? 
Bart Vanhaeren: So for once, we had positive currency effects in the quarter, so we'll take that, but we operate in emerging markets and it can't all be positive in all countries at the same time. In Bolivia, so we are putting in the work in the sense that working with all suppliers to convert our contracts from U.S. dollar to local currencies, so to reduce our U.S. dollar need. We are still able to buy a number of dollars and euros in the market, a lot, thanks to good relationships with our banks over the years. We have been issuing local bonds, we've being in the market for many years with them. But those come at commission rates in between 10% and 30%. So that only makes sense to the extent that we can share that commission costs with our supplier, which in most cases is relatively straightforward for them and for us then to execute on. We also allocate some of the cash flow that we generate in the market for debt repayment. So our net debt in Bolivia will have come down during the quarter. But then lastly to say, I think the business itself has not suffered from this. So mobile business is up, B2B is up. And then in home, we have a slowdown, returns in home are a little bit longer. So to allocate the cash better to go into the mobile business for even more immediate term. In Honduras, a bit of the same activities, working with the suppliers. But in Honduras, the difference with Bolivia, we are able to convert much larger amounts in U.S. dollar. The way it works is we have to present the invoices to the Regulator. Those get reviewed and approved over time, so there is a bit of a delay. DPO will go up. But it's a process that is still functioning. And so far, we're not expecting that much of an impact on the upstream at this moment in time. 
Mauricio Ramos: A couple of additional comments just to wrap it up, Soomit. Number one, for quite some time now, you've heard us say we're cautious on our investment envelope in Bolivia. And we talk about Honduras to a lesser extent. That's precisely because we saw the dry up of foreign reserves coming up. So we've been preparing ourselves for that, and managing the way Bart has describing it. In terms of the target, there are things that can go well, that are going well. There are things that can go bad and we try to put it into a bag, and that basically shakes out with us confirming the envelope for target for this year, with all the puts and takes in there. 
Michel Morin: So next, we're going to go to Stefan Gauffin at DNB. 
Stefan Gauffin: Well, first of all, just thanks, Mauricio for all discussions over the years. And I have a few questions. A couple of them will likely be short. So first of all, on the restructuring charges, are we done now or will there be more choice to come in the coming quarters? Secondly, the Panama business was boosted by the B2B contract, so around 2 percentage point to group service revenue or around $25 million to Panama service revenues. How should we think about these contracts going forward? Will they come down materially or how should we think? And then just thirdly, you mentioned reducing the MFS footprint. And just a couple of years ago, I believe the target was to do the opposite then to build out that business materially. So could you just give a brief update on the MFS business? 
Mauricio Ramos: You bet. So listen, on the first part, Stefan, on the charges, I will tell you -- as a matter of principle, we're going to continue driving efficiencies wherever we can find them, whenever we can find and we've driven the focus to make the platform more and more profitable. And I think we see eye-to-eye, the entire Board and all of our investors. So now we've done a lot over the last few months, Everest 1 and Everest 2, so the level of that activity will certainly be slower, but we are not going to stop looking for efficiencies. How exactly that translates into charges effectively on a quarter basis, Bart I can probably give you some comment on that. Trying to go for it? 
Bart Vanhaeren: I think a lot of the restructuring charges are already spent, Stefan. So on the flip side, a lot of the benefits are in the run rates or in the bank, as we call it. Now as Mauricio said, we continue to look for more efficiencies. So I would say, generally, yes, you will see more. But that's as well where we now not report adjusted anymore, the presentation as you have seen. So it has been ongoing for a number of quarters. And so I personally look at it in what we have as reported numbers. And as this can continue over time, not going to stay at the same intensity. But I would encourage you to look at reported rather than adjusted for one-off charges. 
Mauricio Ramos: On the B2B contract, Stefan, very quickly, these are very large, very profitable contracts that basically have, as in Panama, get to something that begins to look like a fair share of the B2B market in that economy given the size that TIGO Panama currently has. We fought for those for years, and we're happy to obtain them. But B2B, as you know, it tends to be lumpy. These are long-term contracts, but we booked the bulk of the first year revenue both in last quarter, so last quarter of last year and this quarter. Going forward, we want to be super clear, do not expect that we're going to continue to be having quarterly revenue from these contracts to the level that we had in the past 2 quarters. So now 25 to 30 per quarter, materially less. Very important that we'd be transparent on that. On MFS, a couple of comments, and I'll hand it over to Maxime. Number one, we worked very hard to bring the business to OCF. I think I've said that a number of times, so that we have perfect optionality with that business. We are very, very focused now on integrating it better into the operations of the business because that particular product reduces churn and increases ARPU and has a lot of affinity with the operations, which, in fact, means and we are learning a lot from that business, learning a lot on what countries it works better and in countries it doesn't quite work as well. What works in Paraguay may or may not work in countries like Guatemala or others. So we're pretty much in the learning process. We're pretty much in the efficiency process, pretty much in the integration process. And going forward, it's all about optionality. We're no longer focused on one specific M&A outcome here. Maxime, over to you for any add-ons you want to give on that? 
Maxime Lombardini: Yes. Very limited additional elements. The first one, we are not a fintech. It's a market which is very complicated, very competitive with very limited margins. So we've decided to focus on the countries where we are also regionally strong, such as Paraguay, Bolivia or Honduras. And on specific use cases, mainly the ones that are bringing something to the telco business, meaning the reloads for prepaid and the bill payments to lower the cost of commissions. Lending will be in Paraguay only because it's a risky business that is not our core business. And very important, we've made the countries fully responsible for that TigoMoney business. There is not anymore, any longer, a big team to build everything and think other countries. The countries will have to define what are the use cases they really needed, be in the software development and to market the product in a very close relationship with the B2C teams. So it's a different approach, really something where TigoMoney is supporting the Teleco business and not anymore the fintech, living its life. 
Michel Morin: So next, we're going to go to Marcelo Santos at JPMorgan. 
Marcelo Santos: I have 2. The first is on Panama. So you mentioned that in the end, the third operator kind of really left and you were left to a 2-player mobile market. Is this something that a regulator is going to accept? Should there be remedies? Is there some discussion usually when the number of players goes down, regulators get a bit more nervous. So I just wanted to understand what's your perspective? And the second is, has there been a change in behavior in -- competitive behavior in Colombia due to WOM financial issues? I mean we saw that WOM in Colombia was included, I think, on the Chapter 11. So just wanted to see if you are perceiving something on the ground? 
Mauricio Ramos: It's interesting that you asked one question right after the other, as if you are suggesting a parallel and there may or may not be a parallel here, Marcelo. So let's start with Panama here. It indeed has become a 2-player market. As I said, we envisioned it would naturally eventually end up being by default. And it has been a very lengthy, organized, methodic, highly interactive process since Digicel decided to turn back the business and the licenses to the Panamanian government quite some time ago. We have as an industry, Millicom also very closely with the government of Panama to assist in them handling that unexpected situation when the business was handed back to them. It has been a continuous dialogue. The government has looked for a third party, maybe manage that business, take over that business and has been unsuccessful. And as a result of that and our focus and continued work as an industry to make sure that there is no customer disruption as those subscribers were looking for a new home, the process has been managed, I think, quite well. And as a result of that, although the law in Panama still says 3 players, the de facto reality is that it's a 2-player market with everyone having done its best to find a very healthy industry structure going forward. Because of this, Marcelo, this is not the result of organic M&A. This is the result of an industry adjustment that was necessary, and an inorganic transition, which was well managed vis-a-vis the customer. As a result of that there's de facto 2 player market. And as a result of that, we're not expecting any remedies coming out of Panama. Colombia, it is a matter of public record that WOM filed for a Chapter 11 type proceeding, not too long ago. The first thought that comes to mind is a book by a Colombian Nobel prize winner, Cronaca di una morte annunciata, apologies for the use of Spanish language, you can all look that one up, Chronicle of a Death Foretold. We always imagined that it was difficult for the Colombian industry structure to accept a new player. Having said that, it has been very painful for 5 years for the industry. Prices came down. We all had to react. ARPUs in Colombia came under a lot of pressure, but you see that we held our own in Colombia. I spoke to that at length, and as a result of that, that process the chapter 11 type bankruptcy of WOM in Colombia is at the very beginning of that process. And it will be the beginning of what I believe to be an inflection point in Colombia, meaning the industry structure in Colombia have been vocal is too damaging to those that do not have that were will to stand in for long the term, and here is one more example of that. So I believe we're at an inflection point and at some reconstruction in the Colombia industry structure, which needs to be reconstructive so that long-term healthy players can continue to invest. Things like the combination of our network with Telefonica was badly needed. The filing of bankruptcy proceedings by WOM was expected because the industry needs re-composition, and this may be on the positive side an inflection. That's what I expect will happen going forward and that we have expected with having gone through very painful last 4 to 5 years. Having said that, Marcelo, 2 comments. One, we're only at the very beginning of that, right? And bankruptcy proceedings do afford the parties that undergo some financial protection, which means they remain commercially active, and because they remain commercially active, they are still a player in the market. So don't expect any short-term upside from that and bankruptcy proceedings are by definition uncertain. And they are at the very beginning. So as much as I see a long-term trend towards a better industry structure in Colombia, I caution you on the short because there's uncertainty on the outcome and it is the early days. 
Michel Morin: So next, we're going to go to Oscar Runquist at ABG. 
Unknown Analyst: So my first question, just a big one on the severance pays. I think you said about $30 million in severance in H1, and you had $30 million now in Q1. So was that -- I mean, obviously, we were to expect maybe some more restructuring costs. But just on the severance that you alluded to in the Q4 report, is that all already taken now in Q1? Or is it still some that we should expect in Q2? Then my second question would just be, you talked a little bit about Colombia and the network JV with Telefonica and you said that you are on track to reach -- or more than breakeven in free cash flow in Colombia during 2024. So just in terms of timing, obviously, there's some positives and some negative short term, but when do we see a positive run rate on a net effect, cash flow wise in the network JV in Colombia? And just the third, I was just curious to hear your thoughts about -- I mean, now that you have accelerated the savings program was quite a steep headcount reduction that you have seen and also I mean, cost optimization across the board. So my question would be, do you have any sort of insights to share with us how the remaining staff has handled all of the cost reductions? And if we see any sort of impact on the satisfaction from the personnel? 
Mauricio Ramos: Well, that's a good one, last one. So I'll take a couple of those and then maybe give you Bart on the actual map on the severance. So listen, the JV with Telefonica has been years in the making, and it has required, not only the important negotiations with the government to have it approved, but also important negotiations with the partner. It is already yielding benefits, as I said on the call, because we were able to buy a 5G spectrum together, and we'll be deploying -- we are deploying that network together. The actual coming together of the JV is happening as we speak, but it is an important element along with all the other elements that yield positive cash flow targets for Colombia for this year as a full year. On the headcount reduction element and the impact it has had on the team, I want to take the opportunity to thank everyone, there's about possibly 300 or 400 people from TIGO listening to this call, Oscar, so your question is actually very welcome. We could have not undergone this, important as it is, valuable to shareholders as it is. We could have not done it as fast, as deep without, a; the support the challenge from Atlas, but b; also that immense Sangre Tigo that we have built in this company. We have done it because the teams believe in what we're doing, believe in the purpose of what we're doing, want to see the company succeed. And as a result of that, they understand that harsh and difficult as this was, it was important and better to do it fast and quick, and move on going forward, which is only the result of years of building that tremendous culture that now we're putting to use. There was a politician that one said, what is the point of having capital if you don't put it to use. That's what we have done, and that is thanks to all the people that have for so many years built this amazing company and the Sangre Tigo. On to numbers. Severance. 
Bart Vanhaeren: Yes. Now on severance, I think last year or in the quarter, we said that we would expect $30 million to $35 million of severance payments in the first half of this year. A very significant portion has been executed now in Q1, definitely as planned. But as I mentioned before, we continue to look for optimization across the board, not only on headcount, but on other costs, suppliers, CapEx, name it. So there will be more. We started to report now as reported, not adjusted. I don't think the same intensity as this quarter. But as there are maybe less severance, there might be some other restructuring charges, definitely less, but probably some more to come. On the JV, on the equity free cash flow in Colombia. The performance in Colombia is doing very well, right? So we have more than 24% EBITDA growth compared to last year. So that gives a lot of oxygen. Net of restructuring costs, our EBITDA in Colombia is north of 40%. This is now the first time that we reached those levels in Colombia. And that obviously flows down into a much more air in the equity free cash flow. So we have increased revenue, improved margins, lower costs, we'll have less spectrum in the year to go. We have CapEx savings. We're focusing more on our mobile growth, which has immediate returns as opposed to the growth in the home business. So also cash flow-wise and EFCF-wise, that gives a lot more flexibility in your equity free cash flow. And then additionally, from the JV with Telefonica, I don't expect a net EFCF saving immediately this year, more over breakeven on that level and then the benefits to come in mostly next year. It's split into sites, one on spectrum, and that derives obviously, some of that is already in the bank as we start to look at 5G, et cetera, together from the JV rather than separately. And then as well in CapEx going forward, where you will have a single network to manage from the JV as opposed of each company they own. 
Michel Morin: So we're about 1 minute to the top of the hour here. We do have a last question from Eduardo Rubi at UBS. 
Eduardo Rubi: Just a quick one here on my side. So I would like to know how you're seeing the leverage going forward as we already deliver some improvements this quarter? 
Mauricio Ramos: So definitely a good start of the quarter rather than running behind the facts. So our leverage came down from 3.29 to 3.10. Our net debt went up a little bit, $20 million. But then thanks to the EBITDA after leases growth, $120 million, that's what's been driving our deleverage. We expect to continue -- to produce much more equity free cash flow in the coming quarters in line with our targets. That would work on our net debt. And then on the other side, the EBITDA after leases is up for a strong year, and let's see where we can land the year. So both metrics are going to be work done. And then indeed, we hold to our guidance to be close to 2.5 or at 2.5 by 2025. If this comes in already, great. But it's still early to tell because still a lot of challenges ahead of the year. We're at just the first quarter. We mentioned already some macro issues in Bolivia and in Honduras. Then there are always regulations, taxations, name it and business competition remains very, very high in our region. So -- but off from a good start. And the key point at you is that it remains the priority to reduce leverage. 
Michel Morin: So thank you, Eduardo. I think we'll leave it at that. Mauricio, you have any final words. 
Mauricio Ramos: Sure. I want to take the opportunity to thank everyone who has helped do 2 things: one, build this platform over the years and two, make it profitable because that is exactly where we are today, a more and more fantastic and profitable platform. So thank you for -- to everyone who's contributed on both fronts. From here on, Marcelo, I hope you are taking notes because this is going to be over to you. I'll stick around for a strategic direction, for consultation and for government relations, but I hope you took a lot of notes because the next quarter is all yours. Thank you, everybody, and thank you. 
Michel Morin: Thanks, everyone.